Operator: Good day, everyone. And welcome to the iRobot Third Quarter 2020 Financial Results Conference Call. This call is being recorded. At this time, for opening remarks and introductions, I would like to turn the call over to Andrew Kramer of iRobot Investor Relations. Please go ahead.
Andrew Kramer: Thank you, Joelle, and good morning everybody. Joining me on today’s call are iRobot’s Chairman and CEO, Colin Angle; and Executive Vice President and CFO Julie Zeiler. Before I set the agenda for today’s call, I would like to note that statements made on today’s call that are not based on historical information are forward-looking statements made pursuant to the Safe Harbor Provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties and involve many factors that could cause actual results to differ materially from those expressed or implied by such statements. Additional information on these risks and uncertainties can be found in our public filings with the Securities and Exchange Commission. iRobot undertakes no obligation to update or revise these forward-looking statements whether as a result of new information or circumstances. Related to our financial disclosures during this conference call, we will reference to certain non-GAAP financial measures as defined by SEC Regulation G, including non-GAAP gross margin, non-GAAP operating expense, non-GAAP operating profit and profit margin, non-GAAP effective tax rate and non-GAAP net income per share. We believe that our financial -- I’m sorry, our non-GAAP financial results help provide additional transparency to iRobot’s underlying performance and potential. Our definitions of these non-GAAP financial measures and reconciliations of each of these non-GAAP financial measures to the most directly comparable GAAP measure are provided in the financial tables at the end of the third quarter 2020 financial results press release we issued last evening, which is available on our website at www.irobot.com and is provided at the end of these prepared remarks. Also, unless stated otherwise, the third quarter 2020 financial metrics discussed on today’s call will be on a non-GAAP basis only and all comparisons are with the third quarter of 2019. Our outlook for the full year 2020 is also provided on a non-GAAP basis with reconciliations available on the tables of our Q3 press release and at the end of these prepared remarks. In terms of the agenda for today, Colin will briefly review the Company’s third quarter results, discuss major accomplishments and share his perspective on our outlook. Julie will detail our financial results for the third quarter, and share additional insights about our full-year expectations. Colin will wrap up our prepared remarks with some observations on our plans for 2021. Then, we’ll open the call for questions. At this point, I’ll turn the call over to Colin Angle.
Colin Angle: Good morning and thank you for joining us. In the third quarter, we delivered exceptional financial performance and executed well across our global organization to achieve a number of important strategic milestones. As a result of the excellent progress we made this past quarter and growing confidence in the strength of expected fourth quarter orders from our retail partners, our outlook has materially improved from our last update in late July. While there is still a lot of hard work ahead, it is important to acknowledge that our bright prospects would not be possible without the collective focus, efforts and tenacity of my colleagues around the world. In terms of our performance, we reported Q3 revenue of $413 million with 43% growth over Q3 2019 that far exceeded our plans entering the quarter. The strength in third quarter 2020 revenue reflected another quarter of substantially stronger-than-expected orders from retailers tied to favorable sell-through trends, anticipated demand for the upcoming holiday season and incremental orders to support certain customer events, as well as robust direct-to-consumer sales growth. The exceptional top-line strength, combined with extension of our tariff exclusion and prudent spending enabled us to deliver a Q3 operating profit of $93 million and EPS of $2.58. In terms of our top-line trends, we were thrilled that each major geographic region exceeded its quarterly target with the U.S. generating 75% revenue growth, EMEA 22% and Japan 12%. We’ve continued to see strong demand to support online, which includes pure play e-commerce sites, our own website and Home App, and the online arms of our retail partners. We estimate that online-related revenue grew by approximately 70% year-over-year and represented approximately 60% of total revenue. Overall, the pandemic has impacted individuals and families in profound ways with the home becoming a primary hub for work, education, exercise, entertainment and more. The value of Roomba and Braava continues to resonate with consumers worldwide because these products fit seamlessly into their lifestyles, helping them keep their floors clean while freeing them to redirect their time and energy elsewhere. These dynamics are helping drive higher interest in the category and accelerating market penetration. Along those lines, we recently participated in our 6th consecutive Prime Day event. Despite the change in Prime Day from its usual timing in early July, it was a solid event for us with Roomba being highlighted by Amazon as one of its top-selling deals. We made tangible progress against our strategic priorities in the third quarter. And I’d like to highlight a few important developments. As we’ve discussed in recent quarters, an important element of our strategy is to differentiate the cleaning experience. We upped the ante in this area with the introduction of our iRobot Genius Home Intelligence Platform, which gives users greater control of where, when and how their robots clean. Our Genius platform leverages our substantial investments across AI, home understanding and computer vision technology and supports a redesigned Home App. As a result, new features and functionality have been made available across our portfolio of connected floor cleaning robots. We also introduced the Roomba i3+, which expands our lineup of intelligent, self-emptying robot vacuum cleaners. We believe that the i3 and i3+ will play an important role in continuing to shift our product mix up into the mid and premium tiers. Quarterly revenue from premium robots, which are priced at $500 and up, grew by 86% and represented over 60% of our Q3 revenue. The second element in our strategy is to build stronger, enduring relationships with consumers worldwide. We ended the third quarter with 7.8 million connected customers who have opted into our digital communications, a sequential increase of 12% and 45% gain since the start of the year. The introduction of our Genius platform also helps us advance this part of our strategy since Genius gives owners an unmatched level of personalization and control over their cleaning robots. We’re already seeing the collaborative intelligence of Genius drive greater engagement. Mission completion rates have continued to increase; i7, s9 and m6 owners are increasingly creating multiple favorite cleaning routines; and utilization of new features like directed room clean is on the rise. Nurturing the lifetime value of our customers is another strategic priority that we believe will support continued growth of our direct-to-consumer sales channel, the development of new recurring revenue streams and improved profitability. Our direct-to-consumer sales grew approximately 155% to $35 million in the third quarter as we are starting to see early returns on some of the initial investments that we’ve made to improve the buying experience on our digital properties. For example, we’ve recently added support for a broader range of payment types, optimized the design of the homepage and elsewhere on irobot.com to increase conversion, personalized various promotion programs and added a new Roomba Restore program that promotes the sale of refurbished Roomba robots. Earlier this month, we began conducting smaller scale pilots of new services that we expect to refine and scale next year in 2021. As we look ahead, our business has fared far better in 2020 than we could have possibly anticipated just six months ago. We’ve seen our global year-to-date sell-through growth rate accelerate further from Q2 levels, primarily as a result of exceptionally strong demand in the U.S. Outside of the U.S., Europe’s year-to-date sell-through growth has improved modestly from Q2 levels while Japan turned slightly negative due largely to a tough comp against September of 2019, which benefited from very strong sell-through in advance of an increase in that country’s consumption tax. Looking ahead, we remain confident that once again we’ll end the year as the undisputed global category leader, even as the competition intensifies and considerable uncertainty about consumer spending into the holiday season persists. As we move into the final quarter of the year, our operations teams are working closely with our contract manufacturers and broader supply chain to fulfill anticipated orders and close our year on a very-strong note. Based on orders in hand and those expected over the coming weeks, we currently anticipate full-year 2020 revenue in the range of $1.365 billion to $1.375 billion. This implies fourth quarter revenue of $480 million to $490 million. We expect 2020 EPS in the range of $3.43 to $3.53. While we enjoyed a very strong EPS performance in the third quarter, we expect that our anticipated fourth quarter EPS will moderate as we implement a number of promotional activities and activate substantial working media plans, including the recently kicked off television advertising. Julie will provide additional details about our outlook in just a moment. In closing, I am very proud of the way our teams have risen to the unprecedented challenges that we’ve faced thus far in 2020. As a result, we are well-positioned to deliver annual revenue, gross margin, operating profitability and EPS that we expect will exceed our original 2020 targets. The progress we’ve made over the past several quarters further validates our strategic direction and we are incredibly excited about the opportunities we see to move into the next phase of our growth and maturation. At this point, I’ll turn the call over to Julie. And after her remarks, I will return to offer some additional closing thoughts. Julie?
Julie Zeiler: Thanks Colin. As Andy mentioned earlier, my review of our third quarter financial results as well as my comments about our outlook will be done on a non-GAAP basis. So, unless stated otherwise, each mention of gross margin, operating expense, operating profit, effective tax rate and net income per share will mean the corresponding non-GAAP metric. All comparisons are against the third quarter of 2019, unless otherwise noted. For the second straight quarter, we outperformed our expectations. Total revenue grew 43% to $413 million due to substantially stronger-than-expected orders from retailers and direct-to-consumer sales. Geographically, all regions exceeded their revenue plans at the start of the quarter. Revenue grew 75% in the U.S. with international revenue up 21%. Outside of the U.S., the growth was highlighted by 22% expansion in EMEA while revenue in Japan increased 12%. Roomba represented 89% of our mix with Braava making up the remainder. Braava revenue grew by 38% due to the robust growth in the m6. Our gross margin of 48% was well ahead of our plan, primarily due to a combination of higher revenue, favorable changes in foreign exchange rates, a favorable channel mix shift, and the timing of other supply chain-related activities. Gross margin was essentially unchanged with the prior year. The leverage associated with higher revenue and the lack of tariff expense was primarily offset by changes in pricing and promotion. Third quarter 2020 operating expenses of $106 million increased by 18% and represented 26% of revenue. The increase primarily reflects higher short-term incentive compensation based on our expectations for a substantially stronger full-year performance, and the intensity of certain sales and marketing programs to support revenue and build our direct-to-consumer sales channel. Our Q3 operating income was $93 million, or 23% of revenue. Our Q3 2020 effective tax rate was 20%, which was slightly higher than our plan due to the discrete impact of the 2020 tariff refund. Our net income per share was $2.58. We ended the third quarter with $357.3 million in cash and short-term investments, a sequential increase of $115 million. The increase primarily reflects strong fundamental performance in addition to receiving approximately $35 million in tariff-related refunds and approximately $52 million in Teladoc stock that the Company received in the third quarter when Teladoc acquired the Company’s stake in InTouch Health. The gain associated with our InTouch investment is reflected in other income in our GAAP income statement.
‘: Let’s turn to our outlook for 2020. As Colin noted earlier, we now expect a much better 2020 performance. With that said, there is a lot of work outstanding to finish Q4. Overall, we are cautiously optimistic for a strong fourth quarter although it remains to be seen how the pandemic, an uncertain economic environment and the shifting of an event like Prime Day from July to mid-October will influence the holiday gift-giving season. Since late April, our expectations for 2020 have steadily improved. We now expect 2020 revenue in the range of $1.365 billion to $1.375 billion. This would represent growth over 2019 of 12% to 13%, which exceeds our top-line growth expectations at the start of the year. Our full-year 2020 expectations imply Q4 revenue ranging from $480 million to $490 million, or 12% to 15% higher than the fourth quarter of 2019. Geographically, we expect double-digit growth in the U.S., EMEA and Japan for the fourth quarter. We currently anticipate finishing 2020 with a gross margin of approximately 45%, which implies Q4 gross margin in the low-40% range as we support our retailers with promotional programs to drive sell-through during the holiday season. Looking closer into our operating costs, we currently anticipate a meaningful uplift in spending in the fourth quarter as we activate a range of advertising and marketing programs, incur higher short-term incentive compensation and continue to advance strategic initiatives, primarily related to building stronger customer relationships and increasing our software capabilities. Based on planned Q4 spending in the range of $190 million to $194 million, we are targeting full-year 2020 operating costs between $488 million and $492 million. Given our spending profile, we anticipate our 2020 operating profit margin to be approximately 9%. Given the anticipated decline in Q4 gross margin, we expect a fourth quarter operating profit margin in the low-single-digit range. In terms of other notable modeling assumptions for 2020, we expect an effective tax rate of approximately 19%. We anticipate a diluted share count of approximately 28.6 million shares. As a result, we expect our full-year EPS to range from $3.43 to $3.53 with Q4 EPS between $0.12 and $0.22. As it relates to our cash position going forward, we are expecting Q4 to be a solid quarter of cash generation. It is worth noting that we received approximately 60% of the $60 million in tariff-related refunds owed to us by the end of Q3. We expect to receive the balance over the next three quarters. As a reminder, the timing of these refunds is at the discretion of U.S. Customs. In summary, we’re very pleased with our third quarter performance and our visibility into the fourth quarter leaves us confident that we’ll enjoy a strong finish to the year. To be clear, there is a lot to be excited about as we continue to successfully navigate the challenges primarily tied to the global pandemic. That concludes my commentary. I’ll now turn the call back to Colin for some additional color on the coming year.
Colin Angle: Thank you, Julie. We are understandably proud of our performance and achievements thus far into 2020 in part because we believe that our progress this year will help set the stage for continued growth and success in 2021 and beyond. With that said, we still are advancing our planning processes for next year and as a result, it would be premature to share specific guidance for 2021. Nevertheless, I’d like to offer some preliminary thoughts on the opportunities and challenges that lie ahead for us next year. Assuming our fourth quarter unfolds as expected, we plan to exit this year with healthy sell-through activity and relatively normal inventory levels at retailers. We believe that this will create a foundation to sustain strong growth in 2021. Consistent with this view, we believe our instruments to deliver a highly differentiated cleaning experience will further expand our investments -- sorry, will expand our direct-to-consumer sales channel and scale new service offerings, which will increase our competitive moat and support long-term value creation. As the adoption of RVCs in general and Roomba more specifically continues into next year, we’re also focused on a range of initiatives to address profitability headwinds that loom on the horizon. On last quarter’s call, we discussed the gross margin challenges we see in 2021 due to the reinstatement of Section 301 tariffs and the investment to scale production in Malaysia. During the same call, we also noted that tariffs represented a 3-point gross margin headwind in 2019. At a high level, nothing has changed on this front. As we geographically diversify our manufacturing capabilities, we will continue to carefully manage our supply chain to expand our access to the key components and raw materials necessary to keep pace with demand. Additionally, moving into 2021, we plan to further build out the infrastructure necessary to scale the new service offerings and continue to grow direct-to-consumer sales. While our 2020 profitability has benefited modestly from lower travel costs, we expect those gains will subside with a return to a more traditional working environment at some point next year. To minimize these impacts, we plan to ramp production in Malaysia into the second half of 2021, expand our direct-to-consumer sales and carefully manage our spending. Just as important, we believe that our progress on these fronts next year will leave us well-positioned to enjoy gross margin and operating profitability tailwinds in 2022 and beyond. Strategically, we move forward with a laser-focus on the consumer and on making sure that our customers never look to leave our franchise. A happy Roomba owner is an incredibly valuable asset that loyalty will create meaningful opportunities for us to expand the scope of our relationships with our customers worldwide. To that end, we remain committed to product diversification. Top priority for us over the next several years will be to build out our direct-to-consumer capabilities. We believe that progress on this front will increase the likelihood that we can successfully and efficiently enter new product categories. Based on this, our go-to-market plans to enter the robot mower market with Terra will remain on hold for the foreseeable future. To the extent we restart these efforts in this area, we will do so in stealth mode and will not be providing updates on a quarterly basis. In summary, we are very pleased with our results to date and we are optimistic about our prospects for the fourth quarter. As we continue to execute on our plans, we remain enthusiastic that we can navigate the challenges that await us next year and reward our shareholders for their continued confidence. That concludes our comments. Operator, we will take questions now.
Operator: Thank you. [Operator Instructions] Our first question comes from Charlie Anderson from Collier Securities.
Charlie Anderson: Yes. Thanks for taking my questions. And congrats on a really strong quarter here. So, I wanted to ask about the Q4 forecast. I think, it’s 14% top-line growth at the midpoint thereabouts. So, I wonder if you could sort of speak to your expectations for sell-through, both for the category and yourselves in Q4 relative to the guidance? Are there -- anything’s happening -- anything happened in the quarter that would sort of cause those to be any different as it relates to channel inventory or the effect of Prime Day, et cetera? And then, I’ve got a follow-up.
Julie Zeiler: Sure. So, why don’t I start? As we look at what we’ve seen in our sell-through momentum to-date, it gives us growing confidence as we exit into the back of the year that we will continue with those trends. That being said, I think, it’s important to note that we do have some uncertainty as we look through Q4 with the economic environment, and the fact that Prime Day and the holiday season have moved together. But, with the orders that we have on hand, and what we expect in the few weeks -- coming weeks, we feel good about our expectations for the fourth quarter.
Charlie Anderson: Okay, great. And then, Colin, in your prepared remarks, you articulated a desire to expand direct-to-consumer. I wonder if you could maybe hit on some of the actions that you’ll take to do that. And then, you also mentioned continued focus on product diversification. We’re all aware for Terra. So, I imagine you’re thinking about other products beyond Terra. Does Terra have to go first? Could other products jump ahead of Terra potentially in that diversification efforts? Thanks.
Colin Angle: Sure. So, with the launch of iRobot Genius, our robots are becoming increasingly powerful partners to our consumers. And what that means is that the robots learn about the partner’s homes, learn where the robots get stuck, learn where the kitchen table and the kitchen counter and the couches are. And thus, the amount of opportunity to have a long-term relationship where the owner of the robot benefits from the knowledge of the robot, grows. And this is the foundation of what we believe is a long-term sticky relationship between iRobot and our customer base. And so that as we’re building our economic moat, we have a fundamental new dimension beyond product excellence and brand now into tight partnership, which can drive this relationship. And the way to transact with the customers, once we have this relationship built, is directly.
‘: And as we grow that, and we mentioned 155% growth in Q3, as an illustration of just how successful we are at building this new dimension of the Company thus far, we expect it to continue. We’re also building a way of transacting and selling things other than Roomba to our customer base. So to your question of, does Roomba have to come next? Absolutely not. But, it is our focus to create a world-class capability to understand our customer and bring them offers that we believe they’ll be excited to take up as a result of the investments that we’re making.
Operator: And our next question comes from Jim Ricchiuti from Needham & Company. Your line is now open.
Jim Ricchiuti:
‘:
‘:
‘:
‘:
Colin Angle: So, let me -- I’ll start, then Julie can add some color. And I’ll give you -- I’ll try to be as specific as I can, though will be qualitative. We’re in a situation where we’re seeing strong acceleration in demand for our products, and we believe -- and then compounded by strong growth in our direct channels, which benefits both, from the work from home environment and the investments we have in improving our direct capabilities as a business. We believe that all of those positive momentum drivers will be present in 2021, and thus we are qualitatively confident about the continuation of the strong momentum the category and iRobot, in particular, is enjoying. The investments we’re making are very-targeted, and we can be very specific about what we’re doing. We’re going back to a world where we’re anticipating 25% tariffs on product manufactured in China. The COVID pandemic has delayed our original plans to get to Malaysia by the end of this year, and instead pushed our transition of manufacturing well into 2021. We believe that those investments have -- are finite, and by the end of 2021, we will have the vast majority of product coming into North America manufactured efficiently in Malaysia. And so that what starts out as a tailwind ends the year as -- sorry, starts the year as a headwind, ends the year reversed as a tailwind moving forward. So because of the dynamics of product shipments, the vast majority of the products shipped in 2021 will be subject to the higher tariffs. So, we’ll be able to talk to the mature -- the state of maturation of our non-Chinese manufacturing capabilities through the year. But, it’s going to be late in the year and largely 2022 before those tariff costs that we -- that are reimposed on January 1st are reduced in their impact because of that transition. So, it’s pretty straightforward, hasn’t changed since our last quarter call. We continue to make progress moving to Malaysia. And the physics of the tariff policies are what they are. And we’re just trying to be very clear in communicating how that’s going to play out. The other area of incremental investment is on this building out of the direct capabilities to support the strategy I was just describing. It is characterized by some initial investments in these new tools and outside capabilities that we needed to bring in to get these tools implemented. And again, it has a unknowable end to the investments, leaving us with a internal capability that can execute at a world-class level to continue the momentum we’re already seeing on direct. And so that again there’s a tailwind that turns into -- sorry, a headwind that turns into a tailwind as 2021 progresses. The services are less about expense and then more about getting them scaled. They have to wait to scale for the -- some of the direct investments to play out. But again, we feel like we’ll be exiting 2021 with another important and sticky revenue stream growing within the business. So your question about if things don’t go exactly as we plan, do we have some levers to pull? Of course, we do. And I think that you’ve been with us for a long time and know that we do adapt to changing environments up or down as appropriate. But, we believe that given the strong momentum we’re seeing right now, that the strategy that we’re articulating today is the right one to move iRobot to a position where a larger percentage of our revenue comes from repeat customers or in recurring fashion, and that we’re able to transact with an increasing number of them directly. So, this is a great strategic shift for us that we’ve been investing towards, and it’s working.
Julie Zeiler: I think, the only thing that I’d add, Colin, is the other area of investment for us, which is really building our software capability. And so, if you -- we’ve been talking about this during the year, if you look at what we’ve been able to bring to market this quarter, both with the i3+ as well as the Genius platform, it shows that I think the -- in the early -- the early looking that we’re seeing, those highly differentiated software features are resonating with our customers. And as we look forward, we believe we have a multiyear road map of equally rich and high-value features and functionality that we’ll be bringing to market with our floor cleaning products. I’ll just finish by kind of underscoring what Colin said around our view of these investments as an organization. I think, we have a culture of putting a lot of rigor into our investments, and making sure that any significant investment drives an attractive return over a multiyear horizon. So there’s certainly a number of areas that we believe are important to advancing our strategy, and we are -- we will continue and are carefully looking at all of those as we move forward.
Jim Ricchiuti: Got it. That’s helpful. And one final quick question, Julie. I’m wondering if you can tell us what Amazon represented for you in the quarter.
Julie Zeiler: Sure. Amazon represented roughly 27% of our business in the quarter.
Operator: Thank you. Our next question comes from Ben Rose with Battle Road. Your line is now open.
Ben Rose: Yes. Good morning, Colin, Julie, and congratulations on a very strong quarter. Just taking a look at -- one of the developments in the quarter was the introduction of the rt0 Coding Robot, and it looks like a very intriguing product. Should we be thinking of this as kind of a one-off, or perhaps an initial foray into the home learning/educational segment of the home robot market?
Colin Angle: So, that robot root is a robot that was developed and included in our product portfolio as part of iRobot’s commitment to STEM education. We think it’s an amazing product available online. I think it will benefit from the growth in direct-to-consumer commerce that we described. We don’t view it as a material revenue driver at this point. So, I wouldn’t put it into your growth driver calculus. We hope that it is incredibly successful from an impact perspective, particularly in an environment today where remote learning is so challenging and good tools to help students stay advancing, fingers crossed, in their educational journey. So, it’s a strategic robot more on our Company’s commitment to impact rather than revenue growth at this point.
Ben Rose: Okay. And if I may, Colin, just again to clarify some of your comments around product diversification and the Company’s growth strategy. I’m surmising from what you said that you’re obviously looking at some additional categories that Terra may not, in fact, be the next kind of major diversification thrust that we see. But, can we surmise that it is a question of when rather than if Terra will be launched?
Colin Angle: We haven’t given any comments on timing for Terra, and I don’t want to create speculation. We certainly continue to believe that lawn mowing, using our robotic technology is a attractive future market. So, people would benefit from robot lawnmowers.
Ben Rose: Okay, great. And, sorry, just one additional comment. In terms of the diversification efforts, can you speak broadly or maybe just in a broad fashion, what other kinds of opportunities you may be taking a look at, or would that be betraying too much of your strategy?
Colin Angle: I mean, I can speak broadly. iRobot is focused on improving the home experience, helping people maintain their home operated efficiently, securely and focus on how does technology help homes become healthier places to raise your family. That’s sort of the area that we view as core to the Company. I think we built a brand around delivering to our consumers, technology rendered, accessible, reliable and delivering remarkably on the expectations that people have for robots. And so, I think that there is a lot of opportunity for us to expand our brand and take advantage of this growing -- this rapidly growing 7.8 million connected customers as of today that have opted into a direct relationship with the Company. So, these investments that we are making and will continue into 2021 is really setting up a very exciting and efficient new channel into the marketplace, where through the excellence and stickiness of the Roomba experience, we create rapid long-term iRobot fans and then can bring to them efficiently, directly new products and service offerings that they would enjoy and benefit from.
Operator: Our next question comes from Asiya Merchant with Citigroup. Your line is now open.
Asiya Merchant:
‘:
‘:
‘:
‘:
‘:
Julie Zeiler:
‘: Colin, do you want to add anything?
‘: Colin, do you want to add anything?
‘: Colin, do you want to add anything?
Colin Angle:
‘:
‘:
Julie Zeiler: And then, Asiya, can I just ask a clarifying question. When you asked a question about margin, were you speaking about gross margin or operating margin?
Asiya Merchant: Gross margin.
Julie Zeiler: Gross margin. Okay. So, as you look at our business, and we’ve talked a lot -- we have a seasonality in our business with heavier promotional periods in Q3 -- sorry, Q2 and Q4. And as you look backwards, you typically see that. But, as we go from our Q3 gross margin into our Q4 gross margin, what we’re projecting is a, what I would call, a normal level of MDF and our promotion and pricing activity associated with ensuring that we continue to reach and convert our customers during this important gift-giving season.
Asiya Merchant:
‘:
Colin Angle:
‘:
‘:
Operator: Our next question comes from John Babcock with Bank of America. Your line is now open.
John Babcock: Just quickly, I noticed that as recently as this morning, there was a notice on your website suggesting potential delays in shipping products. And so I was wondering if you could talk about your supply chain? And how you’ve managed through this period of elevated demand? And then, also, what adjustments might you have to make as we enter the holiday season?
Julie Zeiler: So, as we have -- and as we’ve talked the last couple of quarters, as we’ve moved through this incredibly challenging period with a global pandemic, we’ve had to make adjustments to our supply chain to ensure we could keep up with demand. This goes from the beginning of our chain, all the way through to the end.
Colin Angle: Yes. I think, that they’re -- given all of the growth, there is occasionally a situation on our website where shipping is delayed, and that’s maybe what you are seeing. But we believe that we have the systems in place that -- to make those types of disruptions very short.
John Babcock: Okay. So, no real major supply chains in terms of getting your products from China or manufacturing the product overall?
Colin Angle: It is an adventure every day. But, we feel like we are winning.
John Babcock: Okay. And then, just wanted to get some clarity on the last set of questions. I was just wondering if the promotional activities in the fourth quarter of this year are going to be any different than in past holiday seasons. And also, just generally, if you could provide a little bit more color on how you are currently thinking about whether or not there will be pull-forward because of Amazon Prime Day?
Colin Angle: So, our promotional strategy varies from year-to-year. This year, definitely, we are accelerating a shift of spend, demand gen spend online, and focus on driving the awareness and demand where our consumers are, and so that the spend definitely shifts. We are also, as the category becomes more well understood, making sure that what makes iRobot special is highlighted a bit more than we’ve done in the past, as opposed to, hey, gee whiz! Did you know that a robot could vacuum a floor for you? And you don’t have to push a vacuum cleaner. And so, as the competitive landscape and customer acceptance of robot vacuuming evolves, so does our marketing strategy. I think that one thing that I’ll point out is, over the last year, we’ve seen a huge shift in customer expectations of robots from a point just a year ago when like, the 17 years prior, people were skeptical that robots could actually do an effective job vacuuming, is almost like someone pushed the switch. Now, people are impatient that they -- their robots don’t do more, and are starting to rely increasingly on robots as their primary floor care solution. And this is part of the excitement we have around iRobot Genius, because what customers are asking for is more control over what, where and how the robot cleans. And that’s what we’re delivering to them with our AI improvements on the robots.
John Babcock: That’s helpful. Thank you. And then, last question, before I turn it over. Just on capital allocation, obviously, you’ve seen your cash balance grow with the strong growth in the robots and overall, just good operations here. I was wondering if you can talk about how you plan to use that cash, whether it’s via M&A or whether there are other value return opportunities. And also just what you see as a preferred level of cash to maintain on the balance sheet?
Julie Zeiler:
‘:
Operator: Our next question comes from Mark Strouse with J.P. Morgan. Your line is now open.
Mark Strouse: Kind of a follow-up to Asiya’s earlier question. Understand you’re not giving long-term targets for gross margins yet. But, if you go back a couple of years ago, you were regularly printing gross margins in the low 50s. And I think you had, at the time, given a 2020 target for a gross margin of around 50%, 51%. Again, not looking for specifics, but is it unreasonable to think that over the next couple of years that you could eventually get back there, or has something fundamentally changed with your competition or pricing or component costs, anything like that?
Colin Angle: So, Mark, maybe I can try to give you some color on this. Definitely, you’ve been with us a long time, and you’ve seen the market evolve from a time when we were alone in the marketplace to a time when competition started to come in and put pressure on pricing a little bit, and that coincided with iRobot really leaning forward on our bill of materials to ensure that we are putting more technology into the robots, more processing power to come out with the first robot that could build a map and first systematic system, and then with Genius, the first robots that could remember the map and grow the understanding of the environment. We spent a lot of time today, and I’m happy to add more color to it, that we’re entering in a play -- into a place where I feel like there are gross margin and profitability tailwinds that should help. Part of that, Moore’s Law gives us access to cheaper processing power, and so that the need to lean quite as far forward is improved. The fact that at this point in time, customers are excited by how well the robots clean and are looking for the robots to be smarter, which means that innovation and differentiation in the category is something that can be best delivered with improved software. That helps. The direct-to-consumer helps. Services help. And so that -- I’m not going to give you a magic number, but I think that gross margins ebb and flow with the current reality of the marketplace. And from alone in the market to early competitive challenges to differentiation based on software and the direct business model, I feel like we’re headed into an exciting next chapter of iRobot.
Mark Strouse: Okay. That makes sense. Thank you, Colin. And then just one quick follow up, if I can. How committed, how locked in are you to Malaysia? If something happens with a change in the tariff structure, either from the election or something else?
Colin Angle: iRobot is committed to Malaysia. We are -- we believe that geographic diversification is critical for a number of different reasons, and Malaysia makes a ton of sense. We’re invested in making that our second geography of manufacturing. Full stop period.
Operator: Our next question comes from Mike Latimore with Northland Capital Markets. Your line is now open.
Mike Latimore: Yes. Thank you. Great quarter there. Just on the sell-through rates a little bit. Can you -- I think you said they were improving or accelerating. Can you just quantify that a little bit in maybe third quarter -- you saw on the third quarter versus second quarter? And then does the kind of roughly 14% revenue growth in the fourth quarter, is that roughly in line with what you’re expecting sell-through to be?
Julie Zeiler: Sure. So, as we said, we’re seeing nice improvements in our sell-through. And as we’re talking about it, it’s through week 40. So, versus our Q2, we’re seeing incredibly -- exceptionally strong growth in the U.S., modest improvements over Q2 in EMEA. And then, Japan, which is slightly negative in -- on Q3 year-to-date basis. But we believe that that’s largely due to their comping in the third quarter, a very high 2019 because of the pending increase in consumption tax.
Colin Angle: Just from a physics perspective, Q3 -- because we account on sell in, Q3 tends to be an inventory build quarter. And, Q4 will be an inventory rundown, leading us in Q1 in a good inventory position. So, the physics of it would be that sell-in outpaces sell-through in Q3, and sell-through outpaces sell-in in Q4.
Mike Latimore: Got it. Okay, great. And then, on the -- some of the enhanced features that you highlighted like the directed room cleaning service, can you talk a little bit about just kind of the usage rates there? What percent of the users are actually using that function? How often are they -- or kind of growth in some of those enhanced features?
Colin Angle: I would say that the idea that you ask Roomba to clean a specific area of your home has continued to grow and is now a very commonly used feature. I’m not going to give you a percentage, but it’s not something that just the niche robot owners use. If you bought an i7, s9 or m6 robot, chances are you’ve built the map and chances are you’re using this functionality. And the Genius goes from clean my kitchen to even more precision, clean around my kitchen table. And it’s still early on that front, but definitely, we’re seeing strong uptake on that additional functionality. The use of the robot to also find good times to clean, so that -- one of our biggest challenges right now is that the Roomba starts, and there’s people home and they turn it off. And so that there’s a very rapidly growing focus on when are good times to clean in the home. And we’ve got a lot of features in the iRobot Genius software to help address those questions as well. And so, it’s all goodness. And again, we tried to say on the call, we’re seeing increased engagement, which is what we hope to see based on the rollout of this new AI capability, and that’s supportive of this strategic goal of getting more of our direct opt-in customers very actively engaged with our robots.
Operator: [Operator Instructions] Our next question comes from Jeff Feinberg with Feinberg Investment. Your line is now open.
Jeff Feinberg: Thank you very much. Good morning. Thank you for all the flavor. Just want to make sure that I’m understanding the opportunity correctly when you’re talking about the direct-to-consumer, the resourcing as well as variety of investments. If I’m looking at this on a multiyear basis, this is taking 2022 versus whatever we do this year. I’m assuming with the comments that you made about the hurdle of returns and the investments that we could look for a nice compound growth in the bottom line over a couple of year time planning horizon with the benefit of these investments?
Colin Angle: Yes. The direct-to-consumer is designed to decrease customer churn and create compounding growth because we’ll be selling more product to our existing customer base than we would without these investments. And so that it should accelerate our organic growth.
Julie Zeiler:
‘:
‘:
Colin Angle: Yes. But you’re correct on the mechanics.
Operator: Thank you. This concludes our answer-and-question session. I would now like to turn the call back over to Andrew Kramer for closing remarks.
Andrew Kramer: Thank you, Joelle. This concludes the third quarter 2020 financial results call. I appreciate everybody’s support. We look forward to talking with you over the coming weeks and months. Thanks again.
Operator: That concludes the call. Participants may now disconnect. Goodbye.